Operator: Good day, ladies and gentlemen and thank you for standing by. Welcome to the Ethan Allen’s Earnings Release Conference Call. [Operator Instructions].
 I would now like to introduce our host for today, Mr. Farooq Kathwari, Chairman, President and CEO. Sir, please go ahead. 
M. Kathwari: Yes. Thank you and thank you for participating in our conference call. At this stage I first pass it on to Dave. 
David Cullen: Great. Thanks Farooq. Thank you and good morning. I am David Callen, Ethan Allen’s Vice President of Finance and Treasurer. Welcome to Ethan Allen’s earnings conference call for our fiscal quarter and year ended June 30, 2012. This call is being webcast live on ethanallen.com, where you also find our press release which contains supporting details, including reconciliations of non-GAAP information referred to in our press release and on this call.
 Our comments today will include forward-looking statements that are subject to risks which may cause the actual results to be materially different than expected when making those statements. Please refer to our filings with the SEC for a complete review of those risks. The company assumes no obligation to update or revise any forward-looking matters discussed during the call.
 After our Chairman, CEO, Farooq Kathwari provides his opening remarks, I will follow with some details on the financial results. Farooq will then provide more details about our ongoing business initiatives before opening up the telephone lines for questions.
 With that, here is Farooq Kathwari. 
M. Kathwari: Yes. Thank you, Dave. We had a very productive fiscal 2012. We implemented many important initiatives and also improved our financial performance. For fiscal year ended 6/30/12, sales increased 7.4% to $729.4 million with diluted earnings per share ex-special items of $0.94, an increase of 62%.
 In addition, we absorbed costs associated with the liquidation of inventory to make room for a new -- for a major new product introduction as well as our ongoing manufacturing initiatives both in the U.S., Mexico, and now Honduras.
 For quarter ended June 30th, sales increased by 4.1% and our net income per diluted share, excluding special items was $0.27 compared to $0.21 in the prior year quarter, an increase of 28.5%.
 As we have stated previously, we continue to absorb incremental costs due to liquidation of lower inventory. During this quarter, we absorbed $0.03 per diluted share. This impact is not adjusted from our non-GAAP numbers. To clarify, EPS of $0.27 has not been adjusted for the $0.03 impact, adjusting for this impact, net income per share increased by 42.9% during the quarter.
 Our written sales as booked orders increased 8.9%, with comparable written increasing 6.4%. That is for the year. For the quarter ending June 30th, booked written sales increased 2.3% over a very strong 14.6% growth in the prior-year quarter.
 We continue to improve our gross margins. For the year, it was 53.5% compared to 51.5% in the previous year. For the fourth quarter, the gross margin was 53.9% compared to 52.9%. The increase reflects greater percentage of company operated retail sales to total sales and benefits from the leverage of our vertically integrated structure.
 We maintained strong liquidity with cash and securities of $104.1 million at June 30, 2012. The $104.1 million includes $15.4 million maintained by us in special accounts being lieu of issuing letters of credit in order to reduce expenses. We have the option of issuing letters of credit from our bank line.
 Inventories increased to $155.7 million compared to $141.7 million in the prior year period, reflecting build up for the Ethan Allen Express program and also inventories in our wholesale business to support our other initiatives and also an increase in inventories, mostly sold in our retail division.
 In fiscal -- for fiscal 2012, our capital expenditures increased to $22.9 million as compared to $9.1 million in the previous year, reflecting our investments in manufacturing, retail, and technology. For fiscal 2013, at this stage we expect to spend about $20 million in capital expenditures. Our annual depreciation and amortization is also expected to be around $20 million for fiscal 2013. We had a successful soft launch of Ethan Allen Express in June with stronger marketing in July and August. This initiative is to help us reach a larger consumer base.
 As we move forward, we have made very good progress in all areas of our vertically integrated structures. In manufacturing, in addition to the U.S. manufacturing, we have started and invested to expand our plants in Mexico and Honduras. Our retail division offers a major opportunity for growth in sales and earnings. In fiscal 2012 fourth quarter, we improved our operating results, showing a loss of 0.7% compared to a loss of 1.3% in the previous year. In fiscal 2013, our objective is to have a positive operating income for the retail division.
 After Dave provides more information on our financial results, I will discuss our business initiatives in greater detail. Dave? 
David Cullen: Thank you, Farooq. Net sales for the quarter were $185.3 million, up 4.1% over the prior year fourth quarter. Our retail segment reported net sales of $143.7 million, an increase of 5% versus the prior year quarter including comparable design center net sales growth of 3.6%. This growth is on top of very strong prior year growth by a retail division of 13%, including 12.1% comparable design center growth.
 Our retail division in written orders during the fourth quarter increased 2.3% over very strong 14.6% growth to prior year’s fourth quarter. Comparable design center written orders grew 0.6% over the 12.9% growth the prior year.
 The company’s retail division ended the quarter in both years with 147 design centers. There were 151 independently operated design centers at June 30, 2012, an increase of 12 locations from the 139 at the end of the prior fiscal year. This includes 70 design centers in China, an increase of 17 locations.
 Our wholesale segment net sales were $112.8 million, an increase of 2.1% over the prior year quarter. The prior year’s wholesale sales benefited from higher shipments of introductory floor products than during the fourth quarter this year. Our consolidated gross margin for the fourth quarter was 53.9%, up 100 basis points from the 52.9% prior year quarter.
 As previously communicated, the new product initiatives and the resulting liquidation of display inventory impacted our financial results by approximately $0.03 per diluted share during the quarter. As Farooq noted, this impact has not been adjusted from either our reported GAAP or our non-GAAP numbers. Our retail division’s net sales made up 77.6% of our consolidated net sales this year in the quarter from 76.9% the prior year.
 This mix, along with improvements in our operations and favorable mix of accessories and imported case goods drove higher margins in the quarter. With the higher mix of retail business, operating expenses as a percentage of consolidated net sales also increased.
 Our fourth quarter operating expenses, including restructuring true-ups [ph] in both periods grew 4.3% to $85.7 million. Our Honduras plant started production in April and is no longer treated as a special item in our non-GAAP reconciliation.
 During the quarter, we continued to invest in our retail business in terms of management and designers, incurred costs to get our design centers ready for new products and invested in technology throughout our business, all to position us for growth.
 Our adjusted operating profit of $14.2 million was 7.7% of net sales compared with 6.8% the prior year fourth quarter. Our income tax rate for the fourth quarter was 40.8% versus 19.8% the prior year quarter. The tax rates in both years were affected by special items, including in the current year, valuation reserves on certain state deferred tax assets related to our retail business.
 Our normalized tax rate for both reporting periods was 36.5%. Our adjusted earnings per diluted share for the quarter was $0.27, up 28.6% over the prior year on 4.1% growth in net sales, demonstrating again the significant leverage opportunity of this vertically integrated business. Net sales for the fiscal year increased 7.4% to $729.4 million. Our retail division’s net sales this year of $559.4 million grew 10.6% on top of 15.4% growth the prior year.
 The wholesale net sales of $456.9 million grew 8% over the 16.7% expansion in our wholesale business the prior year. The company’s consolidated gross margins improved 200 basis points to 53.5% due to strong improvements in the efficiencies of our operations, a favorable mix of retail division sales of the total, and an improved mix of products including high proportion of accessories.
 Excluding special items in both years, operating income up $51.8 million grew $18 million or 53.5% on a 7.4% higher net sales. This was achieved while investing significantly all year in new product introductions, staffing in our retail business, technology solutions throughout the business and 5.1% higher advertising costs.
 Our adjusted earnings per diluted share for the fiscal year increased 62.1% to $0.94 from $0.58 the prior year -- prior fiscal year. During fiscal 2012, we invested $22.9 million in capital expansions, further paid $12.2 million in principal reductions on our debt, bought back $1.4 million of our stock, and paid a $8.1 million in cash dividends to our shareholders.
 With all these investments, and $14 million additional inventory to support our initiatives, we ended the year with $104.1 million of total cash and securities, which includes $15.4 million of restricted cash held in lieu of letters of credit. With $18.6 million and depreciation and amortization for the year, our adjusted EBITDA excluding special items grew 22.2% this year to $70.4 million or 9.6% of net sales.
 Certain macroeconomic factors that affect our clients have shown improvement, while others continue to be challenging along with significant uncertainties in global markets. We continue to operate the business with cautious optimism while aggressively pursuing our business initiatives. Farooq will now walk you through details on the many business initiatives underway. 
M. Kathwari: All right, Dave. Thanks. Our focus remains on our five strategic objectives as follows. In offerings, during fiscal 2012, we completed a major overhaul of our product programs. New products were introduced in our five lifestyles of elegance, Explorer, Vintage, romance, and Modern. Our offerings are reaching a larger consumer base, both in diversity of style and values while maintaining consistency -- consistently superior quality across all our product programs.
 During June, we launched a new initiative, the Ethan Allen express program. This initiative is to expand our reach to a larger consumer base. During the years following the great recession, we decided to expand our reach to a more affluent consumer base through the introduction of new products and through our advertising campaign.
 During the first two years of the recession, we felt that becoming too aggressive in discounting would not expand our reach and could hurt our brand. In the process, we doubled our consumer base with higher income demographics and this also enhanced our brand perception of style, quality and service.
 Now the Ethan Allen Express program expands our reach to a larger demographic base both in income and age, while maintaining the aspiration value of our brand. For Ethan Allen Express, we selected products from our existing offerings representing good value and with our 48 months no interest financing, it has made all our products more attainable to a larger consumer base.
 In addition, we will deliver these products faster as we intend to keep them in stock. For instance, in June, while it is still early, 94% of the orders received were shipped within two days from our Dublin, Virginia distribution facility.
 The June was a soft launch. We are now accelerating our advertising. In July and August we doubled our direct mail advertising. While it is too early to gauge the success of this program, we are getting positive feedback.
 Throughout fiscal 2012 our message, conveying aspirational value of our brand and attainability was enhanced in our direct mail, in our national television, digital, and other mediums. We have strengthened our interior design retail network by relocating and opening new design centers and acquiring qualified entrepreneurial interior designers.
 During the year, we opened new design centers in Annapolis, Maryland; Seattle, Washington; Boca Raton, Florida; Calgary, Canada. We also continued our focus on the international market.
 In China, as Dave mentioned, we ended with 70 locations. This fall we plan to open three international flagship design centers in Montréal, Canada, in Brussels, Belgium to enter the European markets, and in Jeddah, Saudi Arabia. We ended the year with 298 design centers, 147 operated by the company and 151 operated by licensees.
 During the year, we continued to strengthen our interior design associates by adding 260 entrepreneurial designers in the company’s retail division. In the last two years, we have added 58 managerial associates to the retail division. Over 90% were promoted from within.
 We also continued our focus on the independent designer associates, that’s our IDA program. And at June 30, 2012, we had 3,400 IDA members. We made investments in technology.
 During the year, we upgraded our website. Our touch screens, and also added the Ethan Allen tablet for our interior designers. Our retail division migrated to a more improved version of our Vision 8 information systems.
 In upholstery manufacturing, we also completed the implementation of our JD Edwards software upgrade and also made good progress in developing two strong manufacturing operations, one in North Carolina, which is our main operation, and in Mexico. In case goods, we focus on improving the productivity of our U.S. plants and purchased the facility in Honduras to develop into a major case goods plant. We also started the implementation of the J.D. Edwards 8.1% software upgrade in our case goods manufacturing. Our manufacturing is positioned to service continued growth.
 We’re positioned well. We remain cautiously optimistic. The economic conditions remain uncertain and consumer confidence is fragile. Our objective is to be ready to service our growth, while at the same time maintain a cautious outlook by maintaining strong liquidity, control of our expenses and inventories.
 At this stage, I’d like to open for any questions or comments. 
Operator: [Operator Instructions] Our first question comes from the line of Brad Thomas from KeyBanc Capital. 
Bradley Thomas: Farooq, when we met about a month ago at your Analyst Day, you talked about trends in May and June being a little bit softer. Can you just give us a little more color about how the quarter wrapped up and how things are going thus far in July? 
M. Kathwari: Yes, Brad, actually, the end of June was somewhat stronger than we had expected. Even though, as you know, our increases were relatively small in written business compared to last year’s growth of about 15%. So the quarter did start slow, ended up somewhat stronger because as we have mentioned previously, the last 3 or 4 days of the month is when our designers end up closing business. Same is the situation in July. That it had as like the previous month, started somewhat slower, is building up, and we will see how it ends up as we enter into this weekend close of business. As you know, we have monthly events for the first three weeks or so. Our designers worked with clients, house-calls, projects, and then some of them, their nature is just close at the end of the month.
 However, overall, economic conditions, as I mentioned, are somewhat fragile. Consumer confidence is impacted by everything that is taking place in the world and the gyrations of the stock markets from going down 200 points to going up 200 points. Our customer is impacted. So I think that our attitude is that we have to understand the uncertainty, be ready to grow our business, and as I said, be cautious about making sure that we manage our costs, our inventories. But we are continuing to invest so that we have the ability to grow. 
Bradley Thomas: Great. And then just a follow-up on the merchandising transition. It was obviously a drag on gross margin in the last two or three quarters. As we move into 2013, is the expectation that you would get really all of that back, you know, so as we think about the contribution margin or the flow through to the bottom line in 2013, is it reasonable to assume that that should be a higher rate because you have these easier comparisons on the back half of the year? 
M. Kathwari: Yes, Brad, you know, there are -- one has to keep in mind a number of perspectives. First is that despite the fact that we absorbed these costs, we still ended with a 53.9% gross margin for the quarter. And it’s really very, very healthy. And a few years back, if somebody had said -- we had that kind of a gross margin, we would have said not possible.
 However, one of the main reasons also is the mix of our retail sales to total sales. Yes, I think there will be some improvements -- potential improvements. On the other hand, we have also taken a look at the impacts of gross margin on our sale events and the impact of that how aggressive do we become. So we’ll have to manage and monitor the two. So if I were you, I would think the 54% gross margin is a very healthy gross margin, and I would keep that in mind, Brad. 
Operator: And our next question comes from the line of Budd Bugatch from Raymond James. 
Budd Bugatch: I know you said that so far in July you have seen positive feedback and you said June ended stronger. Can you give us any feel of so far the trends in July maybe year-over-year? 
M. Kathwari: Budd, it is -- it’s about the same, more or less what we’ve experienced in the previous months. That is in the first 3 weeks or so, it is this relatively slow, and in the last week it picks up. I would say that also keep in mind in end of June, early July, we had a price increase. So in June like this year and the previous year we did get benefits of taking some business in June that would have come in July.
 Now the Ethan Allen express program is -- the objective of the Ethan Allen express program is first to get the message across that Ethan Allen products are attainable, which means great prices and faster delivery. And the more important part of that is to get traffic into our design center. So what we are seeing is this that while we are having sales and in our system, is going to take us about at least 3 or 4 months before it really starts working. Already we are seeing that people are coming in. They are not necessarily buying all those room packages that we have, but selecting products, some from express, and some from our custom programs because we are shipping our custom programs also in 4 to 5 weeks.
 So our object is to bring more traffic, for us to become more attainable, and I think it’s some of you -- I’ve got to say this, Budd, we are somewhat [ph] but we are cautious because of tremendous uncertainties. If somebody were to say that they can really look into the future in the next few months, I mean it’s hard to do that. We are cautiously optimistic. We’ve got everything in place. We have great designers. We’ve got good product. We’re going to -- we'll have less inefficiencies both in our manufacturing and our retail which should benefit us. But end of the day, we need more sales. That’s going to make an impact, and that I think Budd will depend upon how this quarter shapes up as we forward. 
Budd Bugatch: And it looked like just on the other point, it looked like you are getting very close to breakeven again in the retail -- company owned retail division. If my numbers are right, on an annual basis it looks like the retail division is about $3.7 million per average store. I think that’s well down from where the peak was several years ago before the great recession. Where do you have to get now on retail productivity per average store to be breakeven? How close are we? 
M. Kathwari: We are pretty close. Our fourth quarter we had an operating loss of 0.7%. And we also absorbed these costs of product sales, floor sales and all of that stuff. Without those sales we would have been positive in the fourth quarter. So we are already there Budd and the good news is as I said in my comments, that’s where the leverage is. And both in terms of sales, we also invested a great deal. I mentioned about adding management and adding designers.
 This recession has given us an opportunity to add entrepreneurial interior designers. People who ran their businesses, we’ve added in the last I think 2, 2.5 years 600 of them; that’s not the net number, the net is that we also had people who were not able to make it and they left us. End of the day, our 2000 interior design force is much more qualified today and they have the ability to do more business. And that is where the leverage is. Despite the fact that you know we are not, we are sort of breaking even in the retail, we had three healthy overall margins. And as the retail starts to make an impact, it makes an impact that retail and then it also helps us even do better at the wholesale. 
Budd Bugatch: Okay. And my final question is really for David. It’s more of a housekeeping question. Can you give us maybe the total store count at the end of the quarter and how many company-owned stores -- I think you give us the independent stores. So what was the total and what was the company-owned count? 
David Cullen: Sure, that. It was 147 design centers operated by the company and 151 operated by our independent retailers for a total of 298. 
Budd Bugatch: So you had 70 in China and the balance in other parts of the world? Still 3 in Canada? 
M. Kathwari: In Canada we have more than 3. In Canada we operate 5 in the company retail division and we have several licensees in Canada. 
Budd Bugatch: Right. I thought there were 3. Okay. All right. 
M. Kathwari: Thanks, Budd. 
Operator: And our next question comes from the lien of Todd Schwartzman from Sidoti & Company. 
Todd Schwartzman: A couple of things. I realize there are a lot of moving parts here with regard to delivery of sales and maybe we can take a stab at this. I know you talked a little bit about possible pull forward from July to June due to the price increase. But along those lines is there any evidence in hindsight now that would support some possible pull forward of deliveries into the March quarter from Q4 because of that terrific winter weather we had? 
M. Kathwari: Let me understand that, you’re saying the impact in our fourth quarter from deliveries for the backlog that we had entering the fourth quarter? 
Todd Schwartzman: Yes. Was anything -- do you suspect that there was anything delivered in the fourth quarter -- in the third quarter, I should say, that might otherwise have been sold, ordered and delivered in Q4 but consumers were out there shopping because of that incredibly mild January, February, March that we had? 
M. Kathwari: We did have a strong third-quarter if you take a look at our fiscal, I mean, our third quarters -- our retail division sales, we had a -- we shipped 12.3%, and we wrote 11% in the third quarter. And we were able to -- we were able to ship a lot that in the quarter also because of the fact that a lot of that business came in January.
 It’s possible because of this good weather, we had a very strong January. We also had very strong programs. We didn’t end up by having a lot of business that went into third quarter that was delivered in the fourth quarter. It was delivered in the third quarter, if that’s your question. 
Todd Schwartzman: Got it. Any way to quantify what your designers did in June business that might otherwise have been in July? 
M. Kathwari: Let’s keep in mind we also had a price increase the previous year, Todd, so I think on a comparable basis I would say that if there was any business that was taken the this June from July, we also have the same thing last year. 
Todd Schwartzman: That’s helpful. What’s your outlook now for commodity costs for the coming year? 
M. Kathwari: Yes. One of the last year, one of the major cost increases from the manufacturing side was on lumber materials for our, making our upholstery frames. The plywood costs had gone up. Foam cost had gone up. I was just looking at our numbers, we spent about $1 million more last year just in those two areas in costs.
 Towards the end of the fourth quarter, those started moderating. So it appears that the plywood costs have moderated. The foam cost have moderated so going into this next fiscal year, I don’t see the pressures we had last year.
 Our fuel costs also to some degree are starting to moderate. When I take a look at our energy costs for instance, the fuel costs, because that is a major portion, because as you know, we deliver our products at one costs nationally. Our fuel costs have gone to $4.18. But now has come down to close to $4. So we are seeing a moderation in our fuel costs. And that we will watch it very, very carefully. So that’s -- those are all good news.
 So at this stage, from a cost perspective, there are actually somewhat more pressures internationally, where we are having cost increases in the products that we are getting from overseas. Domestically again, the biggest cost factors is medical costs and worker’s compensation. That really has, when you talk of look at we'll count these pennies, one penny here or two pennies there, all we need is one major accident and we can have, one penny goes to, our earnings goes to that one major accident.
 So medical costs is really where the issue is. And we are managing it as best we can, both in workers' compensation and also it is unfortunate, one hand in this country, we want to increase employment, but on the other hand, people who are already manufacturing and people who are given jobs. They got to consider the cost of medical costs. That’s really where the biggest -- our focus is. And somewhat we cannot completely control it, but that’s what worries me the most. 
Todd Schwartzman: Okay. And could you speak to the fourth quarter demand for upholstery versus case goods domestically and to what extent that translates in your overseas stores? 
M. Kathwari: You’re talking about overseas. You’re talking about businesses in case goods, upholstery, and accents? 
Todd Schwartzman: Yes, just a relative strength among them, If you could just kind of compare and contrast and also whether if there is anything that should be called out as far as being more of a domestic phenomena or are you just seeing pretty much across the network, the same types of trends, in other words, upholstery continuing to outperform? 
M. Kathwari: Upholstery is continuing to outperform. Our case goods, as we have seen in every recession, but especially this one, has not grown up as much as -- gone back to where it was. In the last 3 years it declined. Our upholstery has continued to grow, but this last year our biggest growth was in terms of percentage was in our accent programs and our accessories. They’ve also mentioned that in our gross margins because we do have a higher gross margin in accents.
 That’s a very important part of our program. And I would think that as we go forward even though we have a very, very strong case goods program, we are adding -- we added tremendously great products. And we are also going to have two very strong marketing programs in the fall and in January of next year, which will also have a positive impact in all of our programs, but case goods. To answer your question, upholstery, accents are the ones that have increased more than case goods. 
Todd Schwartzman: Was case goods flat? 
M. Kathwari: Yes, about. Yes, I would say it’s about flat. I don’t have the numbers in front of me, but it is approximately flat, Todd. 
Todd Schwartzman: Okay. On advertising cover, you mentioned in July and again in August you expect to double the direct mail. Presumably a big chunk of that is for Express. Can you speak to overall, though, in terms of total ad spend, net, what your expectation, what your net change if any, in your expectation is now versus a month or two ago when we spoke to you for fiscal ‘13? 
M. Kathwari: Yes. As Dave mentioned last year’s we increased our advertising by approximately 5%. That is for the company. It includes national advertising and our retail advertising relating to our company retail division. Last month I had mentioned that we made this quarter increase our advertising by up to 15% between what we are doing in direct mail and our national television.
 We have doubled our direct mail. We are reaching in July and August 3 million households in our direct mail and it is mostly Express. And in September we are going to do some national television advertising as well. And at this stage we are determining whether it’s going to be Express or its going to be the launch of a very, very exciting program from within our programs called American Colors. You will hear more about it as we go.
 We’ll launch that to the consumer in October and we are also developing a strong national television advertising campaign. At this stage, this quarter is about 15%. Most probably the increase might be closer to 7% to 10%. 
Todd Schwartzman: And of that 7% to 10%, what about -- how much of it is the television piece and how much does the presidential election play into your any change year-over-year or sequentially in the TV spend? 
M. Kathwari: Well, that’s a good question because in July and August we did not do national television. We put our money in direct mail. And in September we will do some, and we are watching this, the cost of television due to this presidential election [ph] they have gone up. So we are very cautious on that. We are very selective.
 And however, we believe it’s still very important for us to be on national television in September and in October even though we’re going to be competing with all of the politics. It is important, but we still have to be there. It has raised our costs, and that’s why the money that we do not spend in July and August we will spend in September and October and November. 
Todd Schwartzman: Okay. And lastly, more of a philosophical question regarding your approach to share repurchases. Have you shifted your focus with regard to stock buybacks maybe more towards a dollar cost averaging kind of philosophy rather than just trying to be opportunistic when the stock is cheap? 
M. Kathwari: Well, overall, my first perspective is to make sure that we have good liquidity and while we have 100 and what I have $9 million? 
David Cullen: $104. 
M. Kathwari: $104 million in cash, keep in mind that approximately what is it, $60 million of that is customer deposits. I treat that very seriously and carefully. You know in our industry, especially at retail, many of them would not be in business if they didn’t have customer deposits. But also the fact is this is not our money; it’s our customers' money. So while I say we’ve got $104 million, I always the $60 million that we can use and we don’t borrow anything from our banks, is money that I want to protect.
 So we want to maintain at least $110 million of cash. After that, as I’ve said previously, our focus will be to have a reasonable dividend. We are spending money on capital expenditures. That’s very important, and as it makes sense, some share back. We bought some share this quarter because the prices were ridiculously low, $17 or so we brought some share. If that happens we’ll buy some shares, and it helps us shares that have given us an option and restricted stock, it brings us back and it helps us in our -- in our diluted shares, Todd, and that's what we’ll do. We’ll see how it goes, but in case we have the opportunity as we go forward and we generate more cash, then I’m sure with discussions with our board we’ll have an opportunity to consider buying some more shares back. We have bought over 1 million shares authorization to repurchase. 
Operator: And our next question comes from the line of Matthew Fassler from Goldman Sachs. 
Halley Goodman: This is Halley Goodman on behalf of Matt Fassler. All of our questions have been answered. 
Operator: Our next question comes from the line of John Baugh from Stifel, Nicolaus. 
John Baugh: Everything has been answered except one last little one. I’m wondering how you will measure the Express program's impact on your business.
 Basically I’m wondering how you’ll determine whether it’s a new -- new customer incremental sale versus the cannibalization issue, they were going to buy something else more expensive, but the value is so compelling on the Express option they chose that. I was just wondering how you’re going to be able to look at that internally and whether you see anything yet from what you’ve done. 
M. Kathwari: John, we do. As our objective is to deliver faster, so we want make sure that we also are in stock. So, we have a daily review of products that we sell and so that we can replenish them. We are -- as I said, we are watching what it is doing. Certainly these products that we have put in Express, keep in mind they are all existing products. They are already starting to show obviously an increase from the previous year.
 However, it’s really going to take us about at least 4 to 6 months to gauge the impact of this program. This program will be an ongoing program. The objective of this program is to help us get the message across that Ethan Allen is attainable.
 Secondly, the objective is to get traffic into our design centers, and then after that, as we have already noticed, when they come in, they do not necessarily by only Express, they may take an item from Express. Like for instance, if they want a sofa fast, that we have in stock, then in the next six months, we will see how much of the product they are buying that we have in stock. How much of the incremental products is being purchased? What’s the impact on traffic and also the impact on the demographic that we are getting? So I would say in the next 4 to 6 months, we would have much better understanding. It’s just too early. 
John Baugh: And Farooq in stock, I think I heard you say some 90%-ish number that was shipping within two days. Is that a number, a service level that you expect to maintain or you just started with a big in stock position and the program is just getting started and that number is going to down in time? I guess I’m wondering is the confidence level that the retail sales associates can have in telling the consumer this is going to ship quickly, one week, two weeks, four weeks, whatever the case may be. 
M. Kathwari: They have online ability to see if it’s in stock. They can order it right away, too. So from their point of view, before they say anything they can see in to see if it is in stock. It is 94%, but it’s too early. As you also mentioned, our -- on one hand, we want to maintain inventories; on the other hand, we don’t want to have a clot of inventory. So, on one hand, we want to market it aggressively; on the other hand, if we market it too aggressively and get into this service problem, it will create an issue of credibility. So, John, these are all issues we’re watching very carefully. I think as we go forward, we go forward. Even though I want -- it’s not for my own associates, they’ve got to deliver within two days 95%. But as we go forward, if we do 85% sold within two days, that I think will be an acceptable number. 
Operator: And our next question comes from the line of Joe Feldman from Telsey Advisory Group. 
Joseph Feldman: I wanted to ask about supply chain a little bit. Just, maybe the -- it seems like we continue to see solid improvement from you guys there. Anything -- when the Honduras plant, can you remind us when that will really come up online and what kind of benefits we might see from that?
 And there any other international plants? Because I know you spent a few, past several years, you were coming back to the U.S. I am just wondering if there is more beyond Honduras? 
M. Kathwari: Joe, Honduras we purchased last December. And the objective was initially to start making chairs. And these chairs were being made over offshore. And we started making them, although most of the parts came from offshore in the initial period, and we started shipping our first chairs in April of this year. So record time we were able to put it together. We have a good management. We have trained a lot of people. And again, as I mentioned all of that we absorbed in our cost structure.
 It will take us another year or so in terms of getting this Honduras plant, which is what we are doing right now, to also start making the parts, not right now assembling the parts. And within I think 12 months period it will be more of a fully functioning case goods plant.
 And I think at this stage we have a good balance. Balance in manufacturing [indiscernible] upholstery between our plant in Maiden, North Carolina, we bought 600,000 square feet, about 1000 associates plant in Mexico, 240,000 square feet, all new constructed by us with over 500 Associates. It’s a good mix. It gives us an opportunity of leveraging both and as we grow we have an opportunity of growing our business.
 In case goods the same thing. U.S. manufacturing and now Honduras give us an opportunity of balancing on top of it, we still have many great partners offshore who we need. So we will balance it. At this stage we don’t have any intentions of setting up any other plant, if that was your question. 
Joseph Feldman: Yes, that’s kind of where I was headed with that, too, is there anything beyond. Thank you for that color. And then also, anything to note on the financing programs? I know we always hear from you guys on that just like the amount that people might be taking on, and I know you’ve had some very attractive programs with some very long dated your [ph] interests, anything to note on that front? 
M. Kathwari: Yes, Joe, this 48 months financing in which people have to make equal payments during that 48 months is a great program. It gives an opportunity for people to make our product -- to see our products as much more attainable. And we have many -- most of our product programs, that is Express or not. You can have a great beautiful Ethan Allen room under $200 a month. So that has made us not only the question of financing, but it has made us become more attainable.
 And the demographics we’re dealing with also gives us an opportunity of having even though as you know there is no recourse to us, but the partner that provide us the financing also, I think has good results because of the demographics we are dealing with. So this is a very, very important program and you’re going to see us using it even more effectively than we are doing now. 
Joseph Feldman: Got it. And then anything with regard to the financing, anything with the interchange fees there’s been some discussion lately, will that have any kind of effect on you, if the potential surcharging because I would think a big ticket might create a fairly substantial surcharge potentially? 
M. Kathwari: I see. You’re talking about -- I used to be the Chairman of the National Retail Federation when we started that. That is reducing -- you’re talking of reducing costs on these credit cards. 
Joseph Feldman: Yes, exactly. 
M. Kathwari: Well, you know, it’s -- we’re going to see that the benefit we’re going to get we’re part of it I don’t know really how much of money we are going to get, but we should be able to get some money. And that also and this is I’m sure you’re following it but I know Budd and John and others are following this whole, anti-dumping situation whereby we -- I was the Chairman of the American Furniture Manufacturing Association, and I had tick tock that was to stay neutral because as a Chairman I wanted to be neutral.
 And anyway, the government has disbursed millions of dollars and recently -- and we of course challenged it. And recently a case which is very similar to us was ruled very favorably in which the government asked that that company which had also been neutral be paid. Now, the government is going to appeal it and this for Budd I know is following it very well. And if the government owes us $60 million, now we know we’re -- literally we're going to see when we collect it, but that’s a very important part where we are very much there, but had a very favorable ruling against a case that is very similar to ours. 
Joseph Feldman: Got it. That’s good to know. And then just the last thing I wanted to ask you was also back to international for a second, just on the actual selling side of things. I know any commentary to share about the quarter with I don’t know China or any of the efforts abroad? 
M. Kathwari: A lot of good growth. In China, we had -- in the last about 3 or 4 months back, we sent a team of our people who held seminars in 4 major cities. We also invested at that time a little over $500,000 in a couple of months in advertising. We are building our brand there. And we are going to do the same thing in this quarter where we are going to be investing in China. We’re also going to send a team of people,  so China is really we have a great operation there, a great partner. And on the international front, as you know, we have -- we last year started to focus on other markets. So we’re going to now have a start up in Europe through Brussels, and expanding also in the Middle East and we are also going into Canada and to do all of that we also had to make investments in our website. Our website is going to go from being having servers right here in Danbury, to go into an environment which is cloud environment and also be translated into French, going to Brussels we got to do it do it in French as well as in Dutch. So we are going to launch our website in international markets within the next 12 months. 
Operator: [Operator Instructions] Our next question comes from the line of Maggie Gilliam from Gilliam and Company. 
Maggie Gilliam: Sorry. I thought I put it into -- cancel my question. But I will just follow-up on one thing if I may. I was just curious, at some point you’re going to get a cadence that’s very, very different in the order pattern. With the shortened lead time all the way around. Is that going to cause any sort of working capital adjustment? Or is there going to be any kind of change in estimating when you’re going to be shipping stuff and when the sales will be coming in? It will be a much more compressed time, will it not? 
M. Kathwari: Yes, Maggie. That means we collect our money faster. And that’s positive news. 
Maggie Gilliam: Yes, that’s positive news from that. But from the standpoint -- the question was asked earlier about building up inventory in conjunction with getting prepared for the Express program. It may actually balloon a little bit later. 
M. Kathwari: We will see. The only reason it will balloon is we’ve got great sales. It’s not going to balloon if we don’t have sales. It will go the other way Maggie if the sales are not there. And keep in mind, all these products that we put in inventory our best-selling products. 
Maggie Gilliam: Yes. Okay. Well, think it’s very interesting that you’re getting a lot of regular selling in amongst the Express program. Because I mean that’s the best of all worlds. 
M. Kathwari: Yes, the objective really is to let people know that we are attainable, we have got great value. And as you know, we made a very major decision that we will not make new products for Express. It will be all existing inline Ethan Allen products, because exactly that’s what happened. Consumers come in and they say is this is Ethan Allen quality or have you changed it? They are used to having company, offering different brands and change the quality. We haven’t. 
Operator: Thank you. And I see no additional questions in the queue at this time. 
M. Kathwari: All right. Thanks very much and good to talk to you. Any questions, please let me know or Dave Callen know. Take care. 
Operator: Ladies and gentlemen, thank you for participation in today’s conference. This does conclude the program and you may now disconnect. Everyone, have a good day.